Operator: Good day, everyone and welcome to the Itron Incorporated Q4 2020 Earnings Conference. Today’s call is being recorded. And now, for opening remarks and introductions, I’d like to turn the call over to Ken Gianella. Please go ahead.
Ken Gianella: Thank you, operator. Good morning and welcome to Itron’s fourth Quarter 2020 earnings conference call. We issued a press release earlier today, announcing our results. The press release includes replay information about today’s call. A presentation to accompany our remarks on this call is also available through the webcast and on our corporate website under the Investor Relations tab. On the call today, we have Tom Deitrich, Itron’s President and Chief Executive Officer; and Joan Hooper, Senior Vice President and Chief Financial Officer. Following our prepared remarks, we will open the call to take questions using the process the operator described. Before I turn the call over to Tom, please let me remind you of our non-GAAP financial presentation and our Safe Harbor statement. Our earnings release and financial presentation include non-GAAP financial information that we believe enhances the overall understanding of our current and future performance. Reconciliations of differences between GAAP and non-GAAP financial measures are available in our earnings release and on our Investor Relations website. We will be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could differ materially from these expectations, because of factors that were present in today’s earnings release and the comments made during this conference call and in the Risk Factors section of our Form 10-K and other reports and filings with the Securities and Exchange Commission. In addition, due to the fluid nature of the COVID-19 pandemic, company estimates regarding the impact of COVID-19 on current or forward-looking statements are made in a good-faith attempt to provide appropriate insight to our current and future operating and financial environment. Materials discussed today, February 24, 2021, may materially change and we do not undertake any duty to update any of our forward-looking statements. Now, please turn to Page 4 in the presentation and I’ll turn the call over to our CEO, Tom Deitrich.
Tom Deitrich: Thank you, Ken. Good morning and thank you for joining us. Exiting 2020, Itron is stronger and focused on the future. Entering 2021, we are cautiously optimistic that the near-term pandemic impacts are beginning to ease and we remain bullish on our trajectory. During the fourth quarter, our team continued to focus on the success of our customers and safely delivered results. With the second waves of COVID-19 gaining access in both our European and North American markets, we saw a slower book and ship business from our expectations from mid-summer, but we were extremely encouraged by closing out the year with very strong bookings in the fourth quarter. We are entering 2021 with total backlog at record levels. We are pleased with our industry position and direction. You will hear details from Joan shortly, but to summarize our fourth quarter performance. Revenue was $525 million, adjusted EBITDA was $56 million, non-GAAP earnings per share was $0.65, and free cash flow was $29 million. While these results still reflect the ongoing effects of the pandemic, we see an operating outlook that is weighted towards the second half and should improve in 2021 and beyond. To add some color on this, let me give a brief update on the customer and operating environment as we see it today. Beginning with our customers consistent with the last few quarters, we have not seen contract cancellations and collections have continued as expected. We had strong bookings in Q4 that reflects accelerating interest in our Riva distributed intelligence platform, automation solutions, grid resiliency, and data analytics. We continue to see robust activities from our customers looking to deploy higher value solutions and applications that increase efficiency and insight into their operations. Turning to Slide 5. For the year, we achieved a book-to-bill ratio of over 1:1 driven by bookings in the fourth quarter of approximately $973 million giving us a record total backlog of approximately $3.3 billion and a 12-month backlog at approximately $1.2 billion. I would highlight that the $1.2 billion, 12-month backlog this quarter is approximately $100 million more than the prior quarter. However, it is still approximately $300 million less than the view we had pre-pandemic entering 2020. This data aligns with our prior commentary. The desire for our solutions is increasing and our customers intend to deploy at rate is improving. But it is also clear some of the pandemic constraints are still present. We continue to see only a modest recovery and deployment pace in 2021 with more projects poised to ramp in the years ahead. Strategically, despite these near-term crosswinds, we have made solid progress on our company priorities that we laid out a year ago. During Q4, the cumulative number of distributed intelligence capable end points exceeded $2.7 million as we expanded our footprint was over 24 customers actively deploying our flexible and agile platform with dozens more in the pipeline. By deploying our advanced network, it enhances our ability to expand our value with our outcomes segment. In 2020, we increased our endpoints under management to over $74 million, which is an increase of 15% from 2019. This metric is the foundation of our strategy to grow our revenue base beyond one-time sale of a solution and into recurring revenue from data analytics, water and grid management, consumer engagement, smart cities, and other applications that increase service resiliency and operational leverage of our utility and municipal customers. To accelerate our vision, we’ve assembled an ecosystem of hundreds of global partners to expand our reach and assist in deploying more advanced applications efficiently and effectively on our secure, multipurpose, multitenant network. To highlight two examples of our partners’ progress in 2020, USQ, it was awarded the IoT Evolution Product of the Year for their wastewater detection and management solution seamlessly adding capability to our water endpoints. Another example of our partners in action is New Cosmos; their methane detection sensors are being deployed on our existing network infrastructure and have definitely sidestepped hundreds of potential safety incidents across gas deployments. Notably, some of our most forward thinking investments in 2020 included expanding the offerings on our distributed intelligence platform with several new technology partners that are building a pipeline of new applications that we are onboarding in 2021 and beyond. As the leader in distributed intelligence for critical infrastructure, our platform, including edge computing, downloadable applications, application orchestration and management provides both our customers and partners flexibility that can be deployed today with a path for tomorrow as their needs and wants change overtime. Many of our partners see distributed intelligence as a means of augmenting existing solutions like Volt-VAR optimization increased flexibility in thin client prepaid offerings and rapid integration of renewables and distributed energy resources into the grid. Others see it as an opportunity to replace their existing hardware-based solutions or improved capabilities such as low desegregation and consumer engagement that can be used to detect anomalies in behavior for seniors living on their own. The most exciting prospect of our DI technology is that we future-proof our customers by enabling them to download and enable support for new use cases at a pace not previously seen in our industry. These greenfield opportunities to create new use cases for utility customers are coming from partners that includes large system integrators, consumer technology companies established utility technology vendors, startups, and even from the utilities themselves. For example, we have a utility customer in Australia, who is the first to write their own DI application. Our DI platform brings new levels of innovation and agility to the industry. These are just a few examples of the progress and innovation that we have made possible during this past year and why we remain positive that our efforts will continue to create value for our stakeholders in 2021 and beyond. With that, let me hand off to Joan to discuss our fourth quarter earnings results.
Joan Hooper: Thank you, Tom. While we face significant challenges in 2020 due to the pandemic, we are beginning to see indications that conditions are improving and are cautiously optimistic for a return to growth and operational improvement in 2021. First, let me cover Q4 results. To begin, please turn to Slide 7 for summary of consolidated GAAP results. Fourth quarter revenue was $525 million, decreased 16% from last year or 18% in constant currency. The year-over-year decline was primarily due to the timing of customer projects and continued operating constraints resulting from COVID-19. gross margin for the quarter was 28.3%, 10 basis points higher than last year, primarily due to favorable product mix of higher margin software license sales in the outcome segment, offsetting increased inventory reserves. the GAAP net income of $22 million or $0.53 per diluted share compares with net income of $15 million or $0.36 per diluted share in the prior year. regarding non-GAAP metrics on slide 8, non-GAAP operating income was $44 million. Adjusted EBITDA was $56 million or 11% of revenue. non-GAAP net income for the quarter was $26 million or $0.65 per diluted share. looking at revenue by business segment on slide 9, Device Solutions revenue was $186 million, a $27 million or 13% year-over-year decline on a constant currency basis. The decrease was due to lower customer demand in EMEA, COVID-19 related delays, as well as the impact of the Latin America transaction completed in Q2 of 2020. network solutions revenue was $277 million, a $93 million or 25% decrease year-over-year due to the delay of large customer projects caused in part by COVID-19. Revenue in the Outcomes segment was $61 million, a $7 million or a 13% increase in constant currency from 2019. The increase was driven by higher software license sales. Lastly, foreign currency changes resulted in $10 million higher revenue versus the prior year. moving into the non-GAAP year-over-year EPS bridge on slide 10. our Q4 non-GAAP EPS was $0.65 per diluted share, down $0.07 from the prior year. on a year-over-year basis, there were some puts and takes. net operating performance had a negative $0.03 per share impact versus Q4 2019. The reduction in gross profit was partially offset by lower discretionary spending, including variable compensation. lower interest expense resulted in a $0.03 benefit year-over-year, a higher non-GAAP tax rate decreased EPS by $0.05 versus Q4 2019. The higher year-over-year tax rate was primarily due to a more favorable jurisdictional mix and higher discreet benefits in 2019. And finally, changes in foreign currency and share count resulted in a $0.02 per share decrease year-over-year. turning to slide 11 through 13. I’ll now discuss the Q4 results by business segment, compared with the prior year. Device solutions revenue was $186 million with gross margin of 12% and operating margin of 7%. gross margin decreased 280 basis points due to COVID-19 related inefficiencies and increased inventory and special warranty reserves. operating margin decreased 100 basis points due to the fall through of lower gross margin, partially offset by lower operating expenses. Network solutions revenue was $277 million with gross margin of 36%. gross margin was up 90 basis points from the prior year due to improved efficiencies in implementation and maintenance services. Operating margin of 25% was below last year due to reduced operating leverage. We anticipate Q4 revenue to be the low point for Network Solutions. Outcomes revenue was $61 million with gross margin of 43%. gross margin increased 10.7 points from the prior year due to an increase in higher margin software license sales and a favorable compare due to a one-time customer adjustment recorded in the prior year. operating margin was 30%, 14.3 points higher than last year due to the fall through a higher gross profit and reduced discretionary spending. turning to slide 14, I’ll cover liquidity and debt. free cash flow is $29 million in the fourth quarter, up 2% from the prior year due to lower capital expenditures. We have tightened the spending for capital projects given the current environment. cash and equivalents, at the end of the fourth quarter, were $207 million. total debt decreased to $936 million in net debt decreased to $729 million. This was due to the $400 million of repayment on the revolving credit facility in the fourth quarter. In addition, we prepaid $14 million on the term loan, which fulfilled any required debt payments until the second half of 2021. net leverage was 4.1 times at the end of Q4, down from 4.3 times at the end of Q3. Now to briefly recap full year 2020 results on slide 15. Full year results were significantly impacted by the COVID-19 pandemic with lower revenue, profitability and free cash flow. Revenue of $2.2 billion was down 13% from 2019 due to lower customer demand and operating constraints resulting from COVID-19. gross margin was 27.7%, 240 basis points lower than 2019. adjusted EBITDA was $178 million or 8% of revenue, compared with $270 million or 11% of revenue in the prior year. Non-GAAP earnings per share was $1.85, compared to $3.32 in 2019. free cash flow was $63 million, down from $112 million in 2019. Our team did a good job, managing cash in 2020 and we delivered very strong collections performance. During 2020, we continued to execute an ongoing cost reduction initiative and also introduced our 2020 project to further reduce our fixed costs and improve operational efficiencies. In addition, we took actions to reduce all discretionary spending, including eliminating variable compensation for 2020. These actions helped mitigate the impact that the pandemic had on our profitability and cash flow. We anticipate that these temporal reductions taken in 2020 will revert in 2021, but still expect to be at our target operating expense level of 22% to 23% of revenue. On slide 16, I’d like to provide some color on our 2021 expectations. We anticipate full-year 2021 revenue to be in a range of $2.23 billion to $2.33 billion. We expect revenue to improve in the second half of the year and virus impacts continue to subside. the revenue level for the first half of 2021 should be similar to the first half of 2020. At the midpoint, the 2021 annual revenue guidance is approximately 5% year-over-year growth. This is driven by high single-digit growth and outcomes low-to-mid single-digit growth in Network Solutions, and with devices essentially, flat year-on-year. we anticipate full-year non-GAAP EPS to be within a range of $2.15 to $2.55 per diluted share. At the midpoint, this represents 27% increase over our 2020 performance. We expect the EPS to be even more backend loaded than revenue due to COVID-related inefficiencies, continuing in the first half of the year. Other guidance assumptions are a euro to U.S. dollar foreign currency exchange rate of $1.2 and average non-GAAP effective tax rate of approximately 30%, expected interest expense of approximately $36 million and average shares outstanding for the full year of approximately $41 million. In summary, we successfully managed through a very challenging 2020 and are cautiously optimistic on the outlook for 2021 and beyond. We will continue to focus on operating initiatives to make us stronger and more agile. Now, I’ll turn the call back to Tom.
Tom Deitrich: Thank you, Joan. on a final note, prior to turning to Q&A while we are excited about the opportunity ahead of us, I would like to take a moment to thank all those, who brought us to this point. Over the last year, Itron’s global workforce partners and customers have put forth a tremendous effort to keep our energy, water and cities critical infrastructure intact and operational. as a community, we were forced to adapt and overcome. These efforts have collectively made us much more agile and capable for the journey ahead. At Itron, we are emerging stronger with an energized focus on innovation, resiliency, and sustainability to better serve our customers and communities. Thank you for joining us today. Operator, let’s open the line for some questions.
Operator: [Operator Instructions] And we’ll first hear from Jeff Osborne of Cowen and company.
Jeff Osborne: Hey, good morning guys and great to see the progress there with bookings. I had a couple of questions on my end; on the bookings front, certainly there’s been a lot of activity in the Northeast, in the Mid-Atlantic that we’ve been tracking over the past couple of quarters and years, some that have had regulatory delays and some that haven’t. but I was just wondering, is there a way you can give us more detail as to the major of the bookings? I assume that’s domestic, but is a gas electric, folks like Avangrid, National Grid, Dominion, et cetera, all has been pursuing opportunities over the past couple of quarters, it would be great to get some incremental color if you can as to where it’s coming from.
Tom Deitrich: Good morning, Jeff. Tom Dietrich here, I can jump in and take that one. Indeed, we were very pleased with our fourth quarter bookings. We had talked about it during a couple of our earnings calls during 2020 that we expected to have a number of those delayed bookings come in during the fourth quarter and they did. The bookings as you correctly pointed out are predominantly North America, they’re scattered around different regions from the Northeast to the Midwest and so on. But one of the bookings that is included in there is Avangrid. We were very pleased to partner with Avangrid for their network for both gas and electric AMI endpoints, as well as the meter data management system that’s underneath that. the deal does include our distributed intelligence platform to give a little bit more flexibility and enhance the performance, and the value of the network over time. So that is a meaningful portion of the bookings that you saw during the fourth quarter. Again, there are others, but that’s one that I think is particularly worthy of calling out.
Jeff Osborne: That’s excellent. Just Tom, a clarification on the Avangrid, great to hear it’s actually my personal utility here in New York. Is it for New York? Are there Connecticut properties or both?
Tom Deitrich: It is both the New York state. So NY, SCE&G as well as the Rochester Gas & Electric, those are the ones that are in the bookings for Q4. obviously, we’ll continue to work closely and expand from there.
Jeff Osborne: Makes sense. And then my last question is on the semiconductor issues that are plaguing auto and some other consumer electronics. You folks had some challenges in later 2018 that caused some obstacles for yourselves and competitors. Can you just talk about the current situation as it relates to semiconductor supply chain and sourcing, is that an issue that we need to monitor closely for you folks like the auto analysts need to for that industry?
Tom Deitrich: Sure. We did see the supply chain in semiconductors tighten up in the second half of last year. And indeed, you tend to read a lot about it in the press today. To this point, we have stayed ahead of it. Some of the lessons learned in 2018 in terms of anticipating orders and building up a little bit of buffer inventory and critical components served as well in the back half of last year. It is an ongoing situation. So, it’s one that we’ll continue to monitor during 2021 depending on how long that will last. but the sudden change in orders in a number of industries, certainly consumer electronics, PCs and phones were pretty hot during the pandemic and automotive turned up quite unexpectedly in the latter months of 2020, that’s one that has put a strain on the supply chain across the globe and one to monitor. we’re not immune to it, but we’ve been pleased with our performance to this point.
Jeff Osborne: Great to hear. That’s all I have. Thank you.
Tom Deitrich: Thanks, Jeff.
Operator: Pavel Molchanov of Raymond James has our next question.
Pavel Molchanov: Thanks for taking the question. We all saw what happened in Texas last week, and I thought I would ask kind of more, more broadly, what are the demand response capabilities of Itron and what slice of the outcome segment does the DR business represent?
Tom Deitrich: very good. good morning, Pavel. It was some – almost everyone watched, some of us were really live in the middle of it; we’re in gloves during meetings, because it was pretty chilly for Texas. but my jokes aside, it certainly was a pretty severe storm and is part of some of the mega trends that we’ve spoken about in the past, where our customers are under pressure for environmental as well as infrastructure and social kinds of considerations overall. as you correctly pointed out, one of the tools that is indeed possible to combat some of those trends that are out there is a DR, a Demand Response program. In this particular case, we saw several of our customers triggering DR events to shed load during this period to enhance grid stability. There’s obviously a trade off in doing so, but it is something that our customers did use, and it is part of our outcomes offering. Today, that capability is about 15% or thereabouts of our total outcomes segment in terms of the size plus or minus, it’ll vary a little bit quarter-to-quarter, depending on how the events trigger all the way through. So, it is a meaningful part of our portfolio and one that we look to continue to enhance as we think these types of events. unfortunately, we’ll continue to play the globe all around the world, and it’s a good part of what our offering would be and how to help our customers cope with the situation.
Pavel Molchanov: Got it. Let me follow up on COVID situation in Europe, of course, a year ago, a lot of manufacturing capacity will shut down. We are seeing some concerning signs in Germany, Italy, central Europe, Slovakia, talk about your physical presence in Europe, specifically on the level of production at your sites there?
Tom Deitrich: Sure. So, we do have a meaningful presence in France and Germany. Specifically, those are our biggest countries of employment for our European operations and we do have a plenty of essential workers that are going to the plant every day to carry on production. throughout the pandemic, we have put in place all of the appropriate safety procedures and monitor it closely. We did have ways that we could keep production running in a safe way and the data would suggest that we’ve done a really good job in terms of maintaining a good balance between supply continuity to our customers, as well as safety for our employees. we haven’t seen spread inside of our facilities. that said, your question goes beyond that our internal operations and starts to think about the environment that we operate in. We’ve definitely seen, I’ll say slowdowns in deployments themselves as access to markets and into homes and things of that sort has been pretty limited, given that the ongoing situation, things did slow down a little bit in Q4. And I think we referenced that in some of our prepared remarks, that it was part of the revenue story for us in Q4. We’ll continue to watch it. We do anticipate that we’ll have a path back to more normalized deployment operations as we go through 2021. but it’s certainly something that’s still with us that during this quarter, and probably the first half of the year, which is giving you a little bit of insight into the shape of what our revenue profile would look like for the year.
Pavel Molchanov: Thank you very much.
Operator: Noah Kaye with Oppenheimer.
Noah Kaye: Thank you. Good morning. Appreciate the questions. look, I think, you’ve given us all the pieces to do this, but just so that everybody has our math straight. as we think about bridging about $0.50 EPS growth year-over-year at the midpoint, can you kind of give us the pieces of that interest rate – interest expense tax rate, and then kind of core operating performance?
Joan Hooper: Yes. well, I think I gave you the interest dollars and the tax rates. I think you should be able to get that. I have not tried to calculate that in terms of actual EPS improvements, but it is driven by roughly at the midpoint 5% revenue growth and the 27% EPS growth is even with the tax rate being higher in 2021 versus 2020. So, there is obviously gross margin improvement in there as well. And as I mentioned, we would expect our OpEx for 2021 to be in that range of 22% to 23%. So again, I haven’t done this specific bridge to that math, but I think you’ve got all the numbers you need to be able to do that.
Noah Kaye: Right. I mean, the point is that the biggest driver is really, the core operating performance and the margin uplift, particularly on the gross margin side.
Joan Hooper: Correct, correct.
Noah Kaye: So, the follow-up question here is really how much of that improved margin is due to just $100 million of revenue coming back year-over-year versus COVID inefficiencies being ironed out versus something that you mentioned in your prepared remarks, which is what I really want to pick up on around structural cost improvements in the business.
Joan Hooper: Well, we have continued to execute on the previous restructuring plans. We had benefits this year that occurred to the P&L. the 2020 plan that we announced in September is really just kicking off. We expect that to have improvements in 2021. And if you recall, most of the improvements from the 2020 plan are in the margin line. So that certainly will help. So, we are expecting gross margin to improve in 2021, over 2020. As I mentioned, the earnings linearity is even more backend loaded than the revenue. And that is because some of the COVID stuff, Tom just mentioned, we’re still seeing the inefficiencies of COVID on our operations in the first half and that primarily affects gross margin. So, if I think about the full year, I think for the full year, we’ll be back kind of to pre-COVID kind of like the 2019 level of gross margin, which would be an improvement for over 2020.
Noah Kaye: Yes. And just some unclear the COVID-related inefficiencies, are you primarily describing those? And I think this is what you’re saying, Tom. but this is really due to two deployment schedules and the ease of deployment, or is it something in your own, in other words, it’s sort of like a throughput utilization issue for the business, or is there some kind of COVID costs, within your own operation that you’re still having to deal with?
Tom Deitrich: It is primarily due to, I’ll say generally that the revenue level. Deployments are slower, which means we’re putting less product in there. So, we’re producing less product in the factory and therefore, your utilization is a little bit lower. There are some other costs in terms of inefficiencies for safety protocols and such. but those are a much smaller piece that primary driver is just think of that as gross revenue level and utilization.
Noah Kaye: Okay, great. And one last question, it’s been a crazy exceptional and hopefully, never to be repeated year. But sitting here a year later, if you just compare your pipeline of new opportunities to what it was a year ago, given everything that’s happened in the past year, both in terms of grid resiliency being tested, more renewables, more EVs, how does the pipeline compare? How are you thinking about bookings levels for 2021? And what should investors be expecting?
Tom Deitrich: The record backlog level, I think, is a pretty good cue to take in terms of the level of activity and the size of the pipeline of what’s still ahead of us. Customers are indeed somewhat tentative to start new projects, which slows down that the revenue in the near term. So that’s one dynamic to look at, but the level of market activity that flows through in terms of pipeline of future opportunities is very robust. Our book backlog is good. And at record levels in terms of the total backlog, we saw sequential improvement in the 12 months backlog. So, we’ve turned the corner, I’ll say within the next year in the backlog sense. So that’s a way to think about it. And that is a – it’s a decent way to think about the overall pipeline of opportunity. Customers have a lot of interest in automating procedures getting better insight into the grid, adding resiliency into their operations to deal with crazy things like that the storm itself better forecasting tools and better understanding of how to operate in the new world. All of those are good things for our business. Just the last mega trend that I would mention that I think is very relevant has to do with much deeper focus in terms of how to handle renewables and distributed energy resources. So, a lot of the push for, and the commitments that our customers are making around carbon reduction, carbon neutrality, net neutral types of situations, flows through clearly the generation side, but also the portion of their business that we can help them with. And again, renewing – helping them integrate renewables much more seamlessly into the network is an area that we’re pretty excited about.
Noah Kaye: All right. Thanks so much for taking the questions.
Operator: Next, we’ll hear from Ben Kallo of Baird.
Ben Kallo: Hey, everyone. Thank you. Nice backlog and nice numbers on outcomes. Could we talk a little bit about the OpEx and it seems like it was a big step down, and I think you said that reverses next year, but I think how did you control that much from both the SG&A as far as – and as far as our R&D as well?
Joan Hooper: Yes, I’ll take a stab at that. So obviously, very early on in the pandemic, we put brakes on all discretionary spending. Some was obvious, right. So, if you have travel and things of that nature. so, we hit in all of our conferences, et cetera, we’re virtual, like everybody else. And so there was a significant amount of normal travel that people would have done. Another big item was the variable compensation. So, we mentioned it a couple of times in the script. We did not earn any variable compensation. So, it is performance-based and given where we started the year with our budget and our commitment to our board. we weren’t able to hit those numbers. And so throughout the year, we were accruing some variable compensation. By the time, we got to the end of the year, we made the decision that we were not going to ask for any kind of exception and therefore all of the variable compensation was reversed. And so that’s why we mentioned it a couple of times. We are now starting a new year. We have a new budget that our board has approved, and if we hit that budget, we would expect to accrue and earn variable compensation. So, those are the two biggest levers kind of discretionary T&E type things, obviously, investor marketing events – sorry, marketing events, as well as variable compensation and the biggest.
Ben Kallo: Got it. On outcomes, I think Tom, I heard you say that this is a low point for that. Could you just talk about, because I think that’s something that we are all watching keenly going forward is your growth there and the margin expansion there. And it’s been awhile from our standpoint for it to take hold. but I think you said it was a low point. So, can you talk about how we should expect that to go forward into this year, and then also maybe, the margin trajectory and how that lines up with how you said the EPS is backend loaded, and I guess the final point on that is in the backlog, how much visibility do you have on the outcome side? Thank you, guys.
Tom Deitrich: Very good. A number of things to unpack there. So first, I hope we didn’t confuse things. But that the low point was more on the networks side in Q4 rather than outcomes. So, networks revenue in Q4 was kind of a low point and we would expect it would sequentially grow from there. So that was networks, not outcomes. with respect to Outcomes, we were pleased with the performance in Q4, you sell, the revenue held up pretty nicely. If you think about it in a year-over-year since our hardware-oriented businesses and networks and devices was down double-digit percentages. Meanwhile, our outcomes business was what was up a couple of points. so that recurring revenue and that long-term visibility you get with an outcomes business model served us well using the pandemic as a quick example overall. the margin for outcomes in Q4 was benefited with some one-time licensing revenue, which was a particularly good margin. So, I think the margin was a little higher even in Q4, which again, was great to see. but we would still want to make sure that it’s clear in people’s minds, the size of the business isn’t quite at scale just yet. So, the margin profile might be a little lumpy on an ongoing basis. So, relative to what you should expect going forward revenue wise, we expect – let’s call it a high single-digit growth for outcomes this year. It’ll continue to perform nicely for us. Margin will be a little bit lumpy, but we certainly think as we continue to scale that business, it will lead our three businesses in terms of what the gross margin percentage would be. on the bookings and the backlog side of things, what we saw in Q4 that $970 million of bookings, that’s very tilted towards our networks and outcomes business. So, we continue to have a good pipeline and are bullish on where outcomes will grow going forward. You notice one last thing that I would mention is we talked about a couple of really interesting guidepost metrics that were a part of our prepared remarks. So, the $2.7 million cumulative DI, distributed intelligence enabled endpoints are now in the market. So that gives us opportunity with our installed hardware base to add new capability into the marketplace and add applications into there, which is outcomes revenue. And also, we’re now over $74 million managed endpoints in the marketplace. And again, that’s good indication of where the outcomes business is growing. Outcomes will grow based on expanding those two numbers, meaning more new endpoints under management, more new endpoints that are highly capable in the field. So, a volume expansion, but then an application expansion on each one of those types of endpoints, we can add new capability, which is good for the outcomes growth, and that’s really the thesis for why we think we’ll continue to expand that portion of our portfolio.
Ben Kallo: That’s great. Maybe, I’ll slip one more on the regulatory front was a big topic of 2020, any changes there as far as willingness to approve projects or in the U.S. or just be able to meet to get stuff done?
Tom Deitrich: I would say that the regulatory environment, certainly we had anticipated throughout the second half of last year that it would come back into focus and normalize, and indeed we saw a lot more decisions being made in Q4, which it really helped that big bookings number that we had. I would say that certainly, it continues to move at pace that the new information or the new things to think about in terms of the regulatory environment at least for the U.S. certainly would be that the new administration and some of their push or a consideration around potential infrastructure spending types of things, and then any lessons learned out of some of the things that happened in Texas over the last couple of weeks. I do think those would be regulatory considerations going forward. But for now, I think it’s really started to normalize quite a bit more than what we saw where things really paused in the first half of last year. We’re back to a more normal cadence as of today with those two caveats that I mentioned.
Ben Kallo: Perfect. Thank you, Tom, Joan and Ken.
Tom Deitrich: Thanks, Ben.
Operator: Jed Dorsheimer, Canaccord Genuity.
Jed Dorsheimer: Hi, thanks for taking my question. Two kind of separate, but I guess related topics. I guess, first to just tap into the issue of curtailment, which is becoming a more topical particularly with advent of renewables and California seems to be a poster child for this. So, I was wondering if you could maybe, just unpack the value proposition across Outcome and Network Solutions in particular, in terms of how Itron captures that value and improve that for the ISOs and the utilities, if you will.
Tom Deitrich: Sure. So, I think that there’s a couple of trends there that are really interesting to us. So, I’ll start at that the last mile and work my way back up the chain. So, the more individual residences or individual buildings have their own sources of power, whether it would be a PV solar panel on someone’s rooftop or a power wall in someone’s garage things of that nature, that’s the equivalent of a new source of generation on the grid and the utility needs to have the ability to balance supply and demand with that kind of environment. Given our position, oftentimes on the side of someone’s house, we’re in a pretty good spot to help provide insight into what’s going on in the grid. So, having more view and more capability into what’s happening at the last mile is an area that we can really help balance supply and demand. You have programs like demand response, where you can shed load again, to help in a balancing of supply and demand types of things. If your generation level is a bit more volatile, where you’re wanting to bring capability up and down, the ability to react quickly on the demand side to balance supply and demand is an area that we also can help our customers deal with. The third is really around distribution automation, it is giving the utility much better insight into what’s happening inside of their grid. So, a much more cost-effective way to put monitoring points in the network and again, truly understand what’s going on with outage or loading levels whether a transformer is nearing its breaking point trying to understand what’s with power quality with Volt-VAR optimization. our DA, distribution automation solutions help with our customers to be able to do that. All of those types of things really help when you have a bit more variability or volatility in both the demand side, as well as the generation side overall. The utilities are definitely up against it and have pressure in terms of being cost-effective, so wanting to balance that supply and demand, but also having to cope with natural disasters and things of that sort as a pressure. it comes to their grid in a number of different ways. So, helping to monitor that, understand it, and respond to those quick changes is really what we’re in a very good position to help with, and it is a growth area for our business.
Jed Dorsheimer: So, thank you by the way for kind of going through that and taking the time, it kind of sets up for the next question. I mean, when we look at the forensic analysis that’s coming out of Texas, it really objectively, is an abject failure of policy and resiliency for the cost trade-off. So, as you start to think through the appetite of other utilities around the country as well as foreign to its power providers that aren’t going to want to be in that to have a system failure that could have been avoided in looking at what you’re demonstrating in terms of that value in the last mile, as well as utility scale, particularly in California. I want to bring it back to that 5% growth number. It seems like as you know, unless there’s – I guess I’m sort of scratching my head in terms of the setup or whether or not this just isn’t baked into that expectation. And then I have one more.
Tom Deitrich: I think there’s a time component to it that probably needs to play through. It will take a little bit of while to really sort through and learn from, and develop proper policy solutions to address some of the issues that were clearly demonstrated in the last couple of weeks, if you use Texas as the example. But policy moves at a certain pace and that that’s really what’s understand behind the growth expectations we have for this year. In our mind, we think it’s absolutely a long-term growth factor for our industry, and certainly, an area that we’re super excited about doing our part to help the grid on a global level. We’re – if you look at it through a short-term lens, we still have some deployment challenges and access to due to COVID to balance out. And both of those things in the blender is really how to think through what’s going on. If you do look longer term though that the growth trend is increasingly behind networks and outcomes, that’s absolutely where we intend to grow, where we have invested to grow and prepare solutions to benefit from those tailwinds. And I think some of the pressures that are in the news today are only accelerants to that type of trend and should benefit us given that the strategy and the work that we’ve done to this point.
Jed Dorsheimer: That’s helpful. One last one for you. So, if I look at that – how the structure is in terms of from a utility and a power provider, pulling your solutions into the market, that’s going to be price inelastic – or not price inelastic, but that’s going to be interest rate or inelastic to potential inflation or rising interests, because it’s using the constituents money to actually pay for your projects. Could you just either confirm or correct me if I’m wrong in that assumption there?
Tom Deitrich: Well certainly, most of the revenue that we generate today does flow through regulated business and that is things that tend to be CapEx oriented and therefore, you do get the correlation with the interest rates overall. Certainly, we think that interest rate today is pretty favorable and the macro signals would suggest that at least in the short run, that’s going to continue to be the case. So, there is a correlation there. We do see growth in the ability to include things like software-as-a-service into a rate base. So, there’s other avenues to grow there that are perhaps a little bit less interest rate correlated and we’ll continue to work on that, but there is a major portion of our business, which is well-correlated as you’ve correctly pointed out.
Jed Dorsheimer: Got it. Thank you.
Operator: And next, we’ll hear from Tommy Moll of Stephens.
Tommy Moll: Good morning. thanks for taking my questions.
Tom Deitrich: Good morning.
Joan Hooper: Hi, Tommy.
Tommy Moll: I wanted to start by continuing on the renewables theme. So at the macro level, both in the U.S. and elsewhere the trend is clearly higher, where the contribution from renewables is going higher over time. One of the things, I think investors are trying to wrap their minds around is, what does the inflection point look like maybe, at a customer level? So, if you then go from 30,000 feet down to a single customer, there’s a spectrum there, where they may have no renewables capacity at one point in time and then as time goes on, that contribution grows. And so at some point, maybe there’s a tipping point, or there’s an inflection point, where they – it starts to become a meaningful enough piece of their footprint that they’re calling you more, that they’re having to invest in some of these capabilities that you outlined earlier, Tom. So, I know there’s not a specific number you can give us, but can you give us any anecdotes or rough timeframes or rough contributions when those conversations with your team really start to accelerate at the customer level?
Tom Deitrich: Well, I would say that we’re well into it already today. Making a plan around how you handle generation on the part of our customers tends to be a multiyear kind of thought process. If they’re going to build a big wind farm or a solar farm, or take a coal plant down, those types of things are things that you plan out well in advance. So, making sure that you’re handling your transmission and distribution assets in parallel with your generation assets is important. They’ve got to go hand and glove to provide reliable service. So, I would say that those conversations are alive and well, and have been for some time. Certainly, the push towards more carbon reduction in a social sense has been an accelerant during that the last year. there are practical realities that you can’t get there overnight. And there is a fair amount of carbon-based economy that’s still out there. From our standpoint, we want to be able to make that carbon-based solution more efficient and have less waste should that be something that’s part of the customer solution, but also seamlessly integrate renewables into the grid. We’ve got some nice cases, where we’ve seen customers this happens to be a UK example that I’m talking about here, where one of our UK customers said they integrated in some renewable capability into their network about 12 months to 18 months faster than they thought they could, because of better insight into the distribution side afforded by some of the capabilities that we’re able to provide. So, having better analytics to truly understand what’s happening in their network is a real benefit to them as they continue to work on the generation side.
Tommy Moll: Thank you, Tom. That’s all very helpful contexts, and if I can move more to a model question here. On the full-year guidance in the first half, second half insight you’ve given. Thank you. It’s all very helpful. I just – I can’t resist asking on the first quarter given that it’s right in front of us, and I just want to make sure everyone calibrates expectations in a reasonable fashion here. Can you give us even any directional insight on revenue or margin trends, or maybe, on the bottom line? What kind of contribution from EPS and Q1 versus your full year, even just some rough numbers would be helpful?
Joan Hooper: Yes. I apologize, but we don’t even really give first half, second half guidance. So, I did give you some color to try to shape the model. The thing I would point out for Q1 that you should keep in mind is the comment I made earlier about variable compensation. So as I mentioned, not only did we not have any variable compensation in all of 2020, we actually reversed some accruals in Q4. So, I would definitely expect from an OpEx perspective that to go up from Q4 to Q1. So that would be the color I would give you on Q1 is that we’re going to revert back to kind of the normal percentage of OpEx. And other than that, it’s – I’m not really prepared to give Q1 guidance.
Tommy Moll: Fair enough. And on the full-year one item, I should have mentioned a second ago just in terms of free cash flow. Anything you could do to frame the full-year outlook there, may be in terms of conversion of adjusted net income or even just the building blocks on capital expenditures or working cap?
Joan Hooper: Yes. I would say overall, free cash flow. I would expect to be approximately a $100 million, maybe, a little bit higher than that, but that’s about the forecast for the year.
Tommy Moll: Great. Thank you. That’s all helpful. And I’ll turn it back.
Operator: Joseph Osha of JMP Securities.
Joseph Osha: Hi, good morning. Yes. Congratulations on getting through a tough year. I’ve got two questions for you. First, we’ve talked a little bit about distributed energy and how you benefit some of the deployments there. I’m wondering how you think about, how you square off against some of the investments being made by companies like Generac, which bought Enbala or what we’ve seen Stem do with AMS. It sounds like you’re beginning to touch on this actual management of distributed energy resources, are those companies running these or do you intend to compete directly with them, or do you regard yourself sort of as adjacent to the actual management of distributed energy resources? And then I have one other question.
Tom Deitrich: Sure. Joe, good morning. I definitely see cases, where we cooperate to the benefit of the customer and sometimes we do compete. So, it varies a little bit case to case and depending on the various competitive dynamics that are in place or incumbency, that’s in place. I definitely see it as a net positive, no matter which way that the model actually goes for us. We definitely – and I might’ve talked about this in some of our prior discussions, see a real benefit in having a combination of endpoint compute capability as well as analytics capability, the combination of being able to take measurements on the ground and use that data computing locally, and in the cloud really gives you a competitive advantage or a service capability advantage. So, the way we go to market and the solution that we bring definitely has edge compute as well as analytics capability to get the best data and the best outs – insight as in case that is needed to serve the customer.
Joseph Osha: Yes. I mean, I look at your business and I wonder why Itron doesn’t just buy a company like AutoGrid, could we see you look to further build out your skill set in the space.
Tom Deitrich: It is an area that we continue to invest in and work on the outcomes side. We definitely see a good opportunities for micro-grid analysis for DERMS, Distributed Energy Resource Management, DR, Demand Response types of solutions. So, I think there’s a lot of activity in that space, and we’ve got some nice capabilities there and continue to look for ways to expand and serve our customers better.
Joseph Osha: Okay. Thanks. And then one other one, I know we’re running up on time here. We didn’t hear that much today about non-meter endpoints. I’m sure that business has been very disrupted this year, but I’m wondering if you could give us some comments on some of the initiatives we’ve heard about in the past; like white streetlights and so forth?
Tom Deitrich: Sure. Our streetlight business, while a smaller portion of our total portfolio, continues to grow very nicely, we’re – I don’t know that I have the number off the top of my head, but well, over three million streetlight endpoints managed. We’ve seen good growth in methane detection, sensing. We’ve seen good growth in other types of sensing applications with things like gunshot detection or air quality monitoring, parking applications are things that we were – we continued to be very excited about in the smart city space that we have. Certainly, the city budget is a strained entity at the moment in a generic sense and it’s one that we definitely see opportunities to grow, but we’ll also be thoughtful about how to make sure that the business model is good for the city and accrues benefits to that community, but also to our business as well.
Joseph Osha: Thank you very much.
Tom Deitrich: Thanks, Joe.
Operator: And it appears no further questions. At this time, I’ll turn the call back over to Tom Deitrich for any additional or closing comments.
Tom Deitrich: Thank you, operator. Before we leave you, I want to mention one final point. Previously, we communicated that we planned to do our annual industry Itron Inspire in October of 2021. I’m pleased to relate to you today that a coincident with that industry event we planned to have our 2021 Investor Day, it’ll commence on October 5th. It’ll be hosted both virtually, and hopefully, if commissions permit, we will do it live. So, please mark your calendars. We would love to have everyone participate. We’ll provide more details as the event gets closer. So with that, thank you all for joining everyone be well.
Operator: That does conclude today’s conference. Thank you all for your participation. You may now disconnect.